Operator: Good afternoon everyone. Welcome to the Globant’s Q4 and Fiscal Year 2015 Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions] After today's presentation, there will be an opportunity to ask questions [Operator Instructions] Please also note that today’s event is being recorded. At this time, I would like to turn the conference call over to Mr. Juan Urthiague, Investor Relations Officer. Sir, you may begin.
Juan Urthiague: Thank you operator, and thank you all for joining us today on our call to review our 2015 fourth quarter and full year financial results. By now, you should have received a copy of the earnings release. If you have not, a copy is available on our website, investors.Globant.com. Our speakers today are Martin Migoya, Globant's CEO; and Alejandro Scannapieco, Globant's CFO. Before we begin, I would like to remind you that some of the comments on our call today may be deemed forward-looking statements. This includes our business and financial outlook, and the answers to some of your questions. Such statements are subject to the risks and uncertainties as described in the Company's earnings release and other filings with the SEC. Please note that we follow IFRS accounting rules in our financial statements. During our call today we will report non-IFRS or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to our peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published in our investor relations website announcing this quarter's results. I would like now to turn the call over to Martin Migoya, our CEO.
Martin Migoya: Thank you Juan, and good afternoon everybody, and thanks for joining us today. I'm happy to be here to review our 2015 full year and fourth quarter performance. 2015 was another very successful and record year for our Company. We achieved robust revenue growth, strong profitability, and solid growth within existing accounts and multiple new customers with huge potential. Also, the revolution of the industry towards digital is fully aligned with our vision of creating digital journeys that matter for millions of consumers. Out full year revenues increased by 27.2% compared to 2014, reaching $253.8 million. At the same time revenues for the fourth quarter of 2015 increased 29.8% compared to the same period in 2014. This remarkable revenue growth was driven by the acquisition of new customers, and by proven customers, especially coming from technology, media entertainment, finance, and travel sectors. Two top-tier airlines awarding Globant mission-critical multi-year relationships, and with discussions to start engagements with several Fortune 500 customers for new additional transformation projects that will drive new areas for strategic customer partnerships and revenue. Finally, our adjusted diluted EPS amounted to $0.98 and $0.26 for the full year and for the fourth quarter respectively. Before diving into our financials, I would like to share with you some information about some trends that we are seeing today, which are specifically targeted by our expertise in digital journeys. As several analysts pointed out, digital is the hottest topic for technology companies and is expected to continue growing in the months to come. According to Gartner, IDC, and Cantor Fitzgerald Research, the digital services market is a large opportunity with an estimated size of $71 billion for services and a compelling growth rate of 25% CAGR for the next five years. Gartner states that 125,000 large organizations are currently launching a digital business initiative, while Forrester projects 65% of all businesses will be using big data analytics to optimize digital experiences by the halfway mark of 2016. All this information reassures our approach and confirms that brands are starting to think on new ways to act and relate with their audiences. These audiences are composed by consumers that today have in their hands more technology than ever. As a consequence, they are disrupting the game of how to connect in an effective way with them and they are falling in love with a new kind of content. This disruption is breaking some of the traditional paradigms, so conveying messages and engaging effectively between brands and its consumers, it is not anymore a sole domain of traditional online social or viral marketing campaigns. Consumers today are expecting from the brands they love to connect with them with a deep and unique technology and power experience that is simple, seamless, context-aware, and smart enough to anticipate and surprise the consumer, and that creates lasting emotional connections. We call these deep technological experiences seamless digital journeys. They are that new kind of content that is being adopted very fast by consumers, and they are stealing screen time from traditional content like movies, TV shows, music, or games, and creating similar lasting emotional connections. So it is time to expand the definition of content to include now these seamless digital journeys. A successful digital journey is composed of different software products including mobile apps, web apps, and even sensors, and different [indiscernible] appliances that work orchestrated by a smart [button] (Ph) that uses big data and fast data, and that connects to transactional systems of the brands. That creates a deep understanding of each consumer and how to act upon each scenario. So price, productiveness, and smart interactions are key on these experiences to create lasting and emotional connections. It is important to remark that a digital journey is not an isolated and flashy mobile app or a beautifully designed webpage, but a group of applications orchestrated to surprise and engage the consumer through different channels. This is a paradigm shift on how to think about engaging consumers, an entirely new channel, a new kind of content, a new way to interact with them. A very interesting article published recently at Forbes by Jason Bloomberg, titled Reinventing Marketing with Consumer Journeys, describes Globant positioning in this new game in a very clear way. The article starts like this: as today's brands scramble to reinvent themselves for the digital age, they have two places to look for assistance, technology-oriented consulting firms and advertising marketing agencies, two professional services industries that are both struggling with their own digital reinvention. All this digital blocking and tackling leaves an opening for pure-play digital consultancies like Globant, end quote. Our thoughts and views about how to create these experiences are presented in our recently launched book called The Never-Ending Digital Journey. This book showcases our views on how we see the market evolving and how we believe brands will have to act to stay relevant and ahead of the game. The document not only describes how users are becoming more demanding and expect brands to offer them a more personalized and emotional relationship, but it also incorporates relevant methodologies, processes, and how-to guide to achieve these goals which in turn will generate more engagement for brands. I invite you all to read the book and contact us if you want to receive a copy of it. To deeply understand this massive paradigm shift, during the past months we also conducted a research to analyze this phenomenon from the user point of view. We studied user behaviors, their desires, and expectations. The results of this research can be found in the new edition of our sentinel report entitles Frictionless Experiences. In this report, we included variables that allow measuring the level of friction of an experience and we present a framework to evaluate the friction in a digital environment. This report also shows an exploration on how this framework could impact the travel, health, finance, and retail industries. If you are interested in learning more about this you can find it at sentinel.Globant.com. So now brands need to offer a new type of content and they need to think beyond their marketing strategy to enter in this new digital journey era. To further explain the digital journey concept, let me point out that for us a digital journey starts very early in a company's process and it is necessary to have analytic view of the challenge and solution. With that in mind, let me explain our approach with these three complementary and separate pillars. First, stay relevant. Our thought leadership and team of experts work to help our customers stay relevant within their industries. With research, white papers, webinars, peer visits, and more, we show them how other companies are creating emotional experiences so they can foresee how to revolutionize their markets. It is key that we help our customers stay fit for the future and on top of new trends. Our new book, The Never-Ending Digital Journey, is a part of helping our customers and the community in general to stay relevant on this new digital era. Our second pillar is discover. Once the organization understands the paradigm shift, we work with them to think and conceive which would be the perfect digital journeys for their users. We dive into our customers' businesses and we conceptualize and understand their organizations, analyzing the user journey and setting the right path to create emotional connections. While the stay-relevant area presents agnostic information and research, discover is focused on dreaming the customer's specific experience according to their strategy, goals, and needs. We work with proof of concepts, prototypes and more to help them envision their new future. The third pillar is build. This means that once the digital journey is defined by our discovery team, it will come to life leveraging the knowledge and strong engineering and design muscle of our studios and platforms through our services over platform strategy. Building the first experiences kicks off a continued discover and build cycle that is influenced by consumers. We explained this pillar in our last earnings call, but I would like to focus a bit more on our services over platform strategy, where we have some good news. In order to build digital journeys fast and innovative manner, we have two clear and complimentary approaches. On one hand, our studios' deep pockets of expertise that provide services focusing on specific trends and technologies such as mobile, big data, cloud, gaming, wearables, and more. But to propel their services and deliver a digital journey faster, we recently launched our services over platform offering. This means that we offer specific platforms that can be customized to the needs of our customers using Globant's services arm. We chart these services over platform portfolio in the same way software as a service companies do, a cost per user per month per usage, or per transaction, depending on the type of platform, but the difference is having corporate advantage of personalization and customization of each solution. Our services over platform offering was launched with I AM AT, a digital journey mobile platform that combines social media, gaming strategies, mobile technologies, big data, and other inputs to augment experiences before, during, and after a mobile interaction with the customer. You can read more about this visiting www.iamat.com. Today, I would like to introduce you to our second platform called StarMeUp. This platform contributes to the creation of an internal digital journey for companies' employees. We believe that in order to be successful, a company should not think only about their end users. They need to nurture their inner culture and teams, promoting collaboration and unifying the mission and sharing goals in order to work together towards the same dream. StarMeUp is perfectly positioned to address this challenge. It introduced a new way to motivate and inspire collaborators by enabling a real-time space to interact with peers. The main goal is to help spread the key values of each company culture in an innovative and crowd-sourced way, encouraging peer recognition, sharing team successes, and enhancing spontaneity. StarMeUp integrates different features in a gamified platform. Among its features, users are able to reward cool links by attributing stars according to different company values. It means that the tool allows to publicly acknowledge who is making a difference. Second, recognize peers' expertise by giving skill stars when they stand out in a technical ability. And third, find the best employees with the right skills in order to ensure your company's success. This platform was designed, built, and used at Globant, and we have proved how it helps to enhance social interactions between peers, identify loyal people, and get valuable metrics in a fast and easy way. With StarMeUp, our portfolio of services over platform continues to grow. We expect to launch more platforms in the near future, and help to others more challenges of the digital journey. Turning to some 2015 metrics, let me say that it has been an outstanding year in terms of our global expansion. Some of the reasons are during this year, we acquired Clarice Technologies, which allow us to establish ourselves into a new continent. Now we have coverage in the Americas, Europe, and Asia. Second, we launched new studios to complement our offering, including one focus on cognitive computing, a trend that is growing massively these days. Third, we have added very attractive new logos to our portfolio of customers, including IBOPE, Procter & Gamble, ServiceNow, Interact, and one of the biggest airlines in the US, among others. Fourth, we had a net addition of 1,189 new Globers worldwide that is expanding our talent base across the borders. In this sense, and to contribute to our talent expansion, we recently signed an agreement to acquire a stake in Acamica, a leading educational platform focused on technology trainings. With this agreement, we will open up Acamica's platform to all Globers, providing them with a massive wealth of knowledge to develop their professional skills. On top of that, we plan to offer additional contents from Acamica to development communities, thus expanding its reach and fostering the growth of the global IT talent pool. This will help reinforce our positioning as a leading and attractive employer worldwide, and will contribute to our growth plans for the future. Lastly, let me remark that our pipeline and backlog remains strong, with a number of high-potential new customers, and on top of that, several long-term projects with our proven customers. We are always nurturing our relationship with our current clients, and we take deep care of the services we deliver, and that's why many of them continue to trust us with long-term relationships. One key example of this is Google. We started working for them in 2006, so we this year we are turning 10 years of relationship that still remains strong. We will continue to work to reinforce these relationships, and to incorporate more brands in a wide variety of industries, looking to integrate their businesses into new experiences that will help attract and retain their users. With that, I will turn the call over to Alejandro Scannapieco, our CFO, for a detailed financial review on Q4, the full year, and to provide guidance for the full year 2016. Ale, please? Thank you.
Alejandro Scannapieco: Thanks, Martin. Good afternoon, everyone. I'm going to spend a few minutes summarizing the full year 2015 results and taking you through the four-quarter performance as well. Then I will discuss our Q1 and full-year outlook for 2016. We finished the year with 5,041 Globers, 4,613 of which were IT professionals. Attrition for the 12 months ending December 31, 2015 amounted to 17.8% compared to 20.2% for 2014, a significant decrease of 240 basis points reflecting the positive outcome of our strategy to lower attrition in the long run. Revenue for 2015 was $253.8 million, resulting in a robust 27.2% year-over-year growth. This implies an acceleration in terms of revenue growth compared to 26.1% increase in 2014. This year's growth is explained by stronger demand for digital services including, among others, mobile, analytics, digital content, consumer experience, and Internet of Things. On top of that, during 2015, many relationships with our key accounts have matured, resulting in higher levels of growth. Finally, we won a number of accounts with high potential in the travel, consumer products, health care, and financial sectors. During the last 12 months, we rendered services to 344 customers. For the first time in the history of our Company, we had one customer in excess of $30 million in revenues, and five customers with annual revenues in excess of $10 million, compared to only two in 2014. For 2015, our top one customer represented 12.3% of total revenue, top five customers represented 33%, and top 10 customers represented 46.7% of revenues, compared to 8.7%, 27.8%, and 43.9% of revenues respectively for 2014. Revenue for our top accounts increased strongly during 2015. In addition, average revenue per top five increased 50.7%, and average revenue per top 10 customer increased 35.2% compared to the same period from last year. Finally, revenue for non-top 10 customers increased 20.9% compared to the same period of last year, with some high-potential brands included in this group. We are very thankful to our customers, which continue to see great value in our service offerings. Adjusted gross profit for 2015 amounted to $98.6 million, 38.9% adjusted gross margin, a 20.7% year-over-year increase. Gross profit did increase at a lower pace than revenues, given the positive tailwind of the significant Argentine peso depreciation that impacted the full year in 2014. At a fasten level, we'll achieve another year-on-year dilution with a decrease of 80 basis points compared to last year. Still, we managed to invest heavily to increase our on-site presence in the United States and United Kingdom. Gains on transaction with bonds totaled $19.1 million during 2015, or 7.5% of our sales. Finance income and expenses for the year amounted to a profit of $6.6 million, resulting from gains from hedging transactions to protect the Company gains and devaluation of the Argentine peso, interest income, and FX gains from our monetary liabilities. This gain was partially offset by losses from the impact of devaluation on monetary assets in the different currencies in which we operate. Income tax for the year amounted to $18.4 million, an effective rate of 36.8%. The increase compared to 26.1% effective rate of 2014 is a consequence of the impact of the sharp Argentine peso devaluation that occurred in the last days of December 2015. Devaluation generates taxable profits in the Argentine subsidiary, which do not flow to the consolidated banners, reporting in US dollars, thus increasing the effective tax rate. Also, FX losses in the consolidated financials do not reduce the taxable profit, so they also increase the effective tax rate. We expect effective tax rate to return to historical ranges once the Argentine FX market becomes more stable. Anyhow, devaluation is actually very positive for our Company as it increases our gross on operating margins. Adjusted net income for 2015 was $34.3 million, 13.5% effective profit margin. This is a very strong performance for a company of our size. Effective diluted EPS for the same period was $0.98 based on 35 million average diluted shares for the period. Now let's move on to balance sheet. Cash and investments as of December 31, 2015 increased to $62.4 million compared to $62.2 million as of December 31, 2014. And borrowings decreased to $0.5 million from $1.3 million at the end of last year. Our balance sheet remains strong, with current assets of $127.8 million, accounting for 57.4% of the Company's equity. During this last quarter, we made a number of real estate investments in Argentina, particularly in [Tambina] (Ph) Buenos Aires, where we aim to gain efficiencies and operating leverage in the near future by consolidating operations. Total shares outstanding as of December 31, 2015 were at 34.2 million common shares. Now I will discuss our four-quarter financial performance. As written in the press release, we posted over the last fourth quarter, with revenues at the new record level of $71.6 million, accelerating to a 29.8% year-over-year growth, and $0.26 effective diluted EPS compared to $0.24 for the fourth quarter of 2014. Once again, this strong revenue growth was primarily driven by deeper penetration in our top accounts and healthy growth in some high-potential non-top 10 accounts. Our top one account grew a remarkable 87.9% compared to Q4 2014. Corporations are embracing the need to becoming digital enterprises, and this is clearly benefiting our Company given the expertise in emerging technologies. Globant, with the focus on creating digital journeys for consumers, is extremely well-positioned to tackle this huge and growing market opportunity. We continue to target specific accounts to add into our portfolio. During Q4, we added a number of high-potential accounts such as the largest consumer bank in Spain, and one of the most important consumer packaged goods companies in the world, based in the US. As it has been indicated in previous quarters, the vast majority of our revenue was generated from customers that were already working with us in the prior year, a clear sign of our ability to form accounts. For the fourth quarter of 2015, our top one customer represented 12.7% of total revenue. A slight decrease compared to the previous quarter, top five customers represented 34.4% and top 10 customers represented 46.4% of revenues, compared to 8.8%, 28.9%, and 44.8% of revenues respectively for the fourth quarter of 2015. We believe we are well-diversified in terms of customers and industries, and this could drive sustainable growth over the next five years. Compared to the fourth quarter of 2014, average quarterly revenue per top five customer increased 54.7% to $4.9 million, and average revenue per top 10 customer increased 34.3% to $3.3 million. We are very pleased with our ability to develop long-term partnerships with our top-end strategic customers, generating a robust space to grow in 2016 and onwards. During the fourth quarter of 2015, 81.7% of our customers were in North America, the US is our top country, 12.2% in Latin America and others, Chile our top country, and 6% were in Europe, UK top country. Our top three industry verticals for this quarter were media and entertainment with 24% of revenues, technology and telecommunications with 19.7% of revenues, and travel and hospitality with 18.2% of revenues. We continue to be pretty much balanced across different verticals. During the fourth quarter of 2015, 90.8% of our revenues were denominated in US dollars, protecting our top line against currency fluctuations, especially given the latest tendency of the US dollar strengthening across different regions. As mentioned before, our fourth quarter revenue amounted to $71.6 million, which imply a 29.8% growth year-over-year. Following with the rest of the P&L line items, our adjusted gross profit for the period increased to $28 million, 39.2% adjusted gross margin, compared to $26.2 million, 39% adjusted gross margin in the third quarter of 2015, and $21.9 million, 39.7% adjusted gross margin in the fourth quarter of 2014. Despite the decrease versus last year, adjusted gross margin has been improving every quarter in 2015, and is expected to continue improving during 2016. The margin decrease versus the fourth quarter of 2014 is mainly driven by some FX headwinds during the year, though the recent depreciation of the Argentine pesos should be net positive to that extent. During this quarter, we managed to dilute [indiscernible] another 20 basis points sequentially, or 160 basis points compared to Q4 2014, while at the same time we continue investing heavily to increase our on-site coverage. The Argentine peso devaluation that occurred in the last days of December 2015, which will be very positive for our operating margins going forward, had a significant impact in two line items during Q4: financial income and expense, and income tax. Financial income and expense net amounted to a gain of $4.8 million. This net result is composed of FX gains from the impact of the Argentine peso devaluation on Argentine peso-denominated monetary liabilities. Gains from our hedging strategies and interest income, all of that partially offset by losses resulting from the impact of the Argentine peso devaluation on Argentine peso-denominated monetary assets. Our income tax for the quarter amounted to $10.2 million, and implied an abnormally high effective tax rate of 55%. As discussing the full year explanation, an increasing effective tax rate is a consequence of the impact of the Argentine peso devaluation that occurred in the last days of December 2015, and that generated the already mentioned effects in taxable profits. Despite a significant effect of all of these movements, we have been able to neutralize the impacts, as can be seen in our EPS for the quarter which exceeded our guidance. Adjusted net income for the fourth quarter of the year totaled $9 million, 12.6% adjusted net income margin, an increase of $0.8 million (sic - see press release, "$0.9 million") or 10.4% versus the fourth quarter of 2014. Adjusted diluted EPS for the quarter was $0.26 based on 35.2 million average diluted shares for the quarter, increasing from $0.24 a year ago. To wrap up, I would like to share with you our outlook for Q1 2016 and for the full year ending December 31, 2016. Demand remains very strong for our services. According to the outlook that we foresee, we expect that our top accounts will continue investing during this year. We are very confident that during Q1 and throughout 2016, we should be able to deliver another strong set of financial results, both for revenue growth and profitability, while we continue investing in our people for future growth. On a macro level, we see currency volatility in the markets, which will have limited impact on the revenue side, but may have an impact on our costs, as 95% of our headcount is outside of the US. Of that, we need to take a conservative approach in our guidance. It is worth spending a minute to discuss some of the implications of the ongoing changes in the Argentine FX market, considering that despite reducing a tier every single year, Argentina remains our main development center. The increase in the spot rate Argentine peso US dollar should cover relevant impact on our gross margin as our Argentine peso-denominated costs will be lower in dollar terms. We also expect to reduce further the weight of our SG&A as a percentage of revenues as we continue gaining scale and enjoy the benefit of previous year investments. All these should result in a significant improvement in our operating margins, something that we discussed extensively over the last few years. In addition, as the FX market has converged and the remaining spread is extremely tight, we expect limited or no gains on transaction with bonds given this environment. However, as mentioned before, we expect to offset this profit gone with increase in our operating margins. Finally, we continue to see effective tax rates at the historical 24%, 26% range for the long term. However, and for the reasons we described before, during 2016 and particularly for Q1, the volatile effects of the environment in Argentina may still result in a higher effective tax rate, returning to normal levels once the FX market in Argentina stabilizes. Based on current visibility we expect revenue for 2016 to be between $305 million and $314 million, implying a 22% year on year increase and the midpoint of the range. Adjusted diluted EPS for the year is expected to be in the range of $1.12 to $1.20, assuming 35.8 million average diluted shares outstanding for the full year. Turning to our guidance for the first quarter, which is also embedded in our full-year guidance, we expect revenue to be between $69 million and $71 million, and adjusted diluted EPS to be in the range of $0.21 to $0.25, assuming 35.3 million average diluted shares outstanding for the quarter. Thanks to everyone for participating on the call, and for your coverage and support. Let's please now move to the Q&A section of the call. Operator, can you please queue questions? Thank you.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] And our first question comes from Tien-Tsin Huang with JPMorgan, please go ahead with your question.
Tien-Tsin Huang: Great, thank you, good afternoon, great results here. I guess I will ask on the guidance and your macro assumptions in the guidance. I know we have heard some different commentary from your peers around the demand environment, so I'm curious how your visibility looks today in setting guidance and what your macro assumptions are.
Martin Migoya: Hi, Tien-Tsin and thank you very much for joining the call. This is Martin. What we see, as I said in my - in my speech, we see a strong pipeline and strong bookings happening, and I don't see any kind of softening on the demand. Pretty much all the customers that we have are in good shape in terms of financial performance, so they are tractioning, and they have the need and that need is becoming more relevant every day, and they know that they can each invest in this sector. This kind of difficult journeys for - to surprise their consumers and to seduce them in a different way, so that is the trend we are seeing. We are not seeing any kind of softness in the investment plan. I have seen many customers in the last three, four months since we talked. None of them are thinking about divesting, or stop investing in this area.
Tien-Tsin Huang: Okay. What kind of growth would you need to see from your top accounts? If my math was right, it looks like it was up modestly sequentially, that was some very good growth year on year, but what needs to happen with your top accounts?
Martin Migoya: We've continued planning to grow our top accounts, and again you'll remember, we are always conservative on our approach on how to guide. But we are seeing, if you have seen us, you know we have one account bigger than $30 million a year, accounts that are close to $200 million, and accounts that we did not have that many accounts on top of $10 million; so we continue seeing a penetration on the top accounts, and making bigger deals, and deeper deals, so that is a trend. I don't know if that answers your question but that is the trend I'm seeing.
Tien-Tsin Huang: Okay, that's good to know. One more, and then I'll jump off. I know you talked about the devaluation - that made sense. Just curious, any impact to consider on pricing? And how you price your business, given some of the devaluation changes? It sounds like no, but I want to make sure.
Martin Migoya: None at all. As you know, we are running now a global company, so in spite of the fact that Argentina can appeal very big share of our company and our development centers, definitely there is no impact on pricing, none at all.
Tien-Tsin Huang: Nice job, thank you.
Operator: Our next question comes from Ashwin Shirvaikar from Citi, please go ahead with your question.
Ashwin Shirvaikar: Thank you, and let me add my congratulations for the good earnings. I have a question on the [indiscernible] growth trend, if you will, when we last spoke, you mentioned before, you have this goal of taking 40 to 50 clients to a $40 million to $50 million size each. As we look at your demand for a while, currently, what sort of a timeframe do you feel comfortable putting on? Is it a five-year goal, when you speak with your clients, you see the scope of current projects expanding, so you can get to that in a reasonable fashion?
Martin Migoya: Thank you very much for asking questions.
Ashwin Shirvaikar: Ashwin.
Martin Migoya: Ashwin, I'm sorry, Ashwin. Thank you very much for being here on the call, and thank you for the [indiscernible] when we talk. Look, the fact of growing an account, it is a long process. It took us a while to get to $30 million on one of our accounts. We plan to keep on growing steadily as we have been growing in the past, and we plan to - getting to that vision is a pretty long-term vision. It could take us eight to ten years to get there. Because we have 40 accounts of $10 million - $50 million a piece. It is taking the company to $2 billion, maybe less, I don't know. I think we need to think about Globant as a company that will look always to deliver higher and higher growth every year. And we plan to grow steadily and to - but always with a conservative approach in terms of - without expectations we've had. We know it is not easy, and we know that when you enter into an account, sometimes it could be complicated to fight against other players that are already there, the incumbent players and so on and so forth, but we are extremely optimistic on the outcome of that fight. That is my approach. It is difficult to answer your question in terms of how long it will take, but we are on that path. And we are already delivering some very concrete results in terms of how many accounts we have on top of $10 million, how many we have on top of $30 million this year, how many accounts we have on top of $5 million. We doubled the amount of accounts on top of $5 million from last year to this year, so I think that those are very good signs. But it is difficult to answer the question, for how long it would take to get to $2 billion, basically.
Ashwin Shirvaikar: That's fair. One other question with regards to the service over platform. As you - I think - a quarter and a half ago, you launched this - maybe two quarters ago. You proved a point where you probably introduced this concept to many of your top customers. If you could talk about what the reaction has been, what the feedback has been from them, is there any acceptability? And what is the financial model, [indiscernible] as results platform model gets accepted.
Martin Migoya: We quit announcing the platform is because they are already generating revenue. Otherwise we are not announcing anything. Anything that we announce means that we are in the revenue generation period already. Otherwise, its not a platform. It is a project. That is one thing, and the financial movers behind it, its a very nice financial mode because we will start charging it on a short-term faction - like I said - a short-term faction of per month, or per user basis instead of charging the hour. So its kind of a re-coupling between the hedge fund growth, and our growth, and the growth of the company. So I think that this is pretty much the story here, in terms of this platform. The only thing that may require some investment is adopting those platforms to the specific needs. Remember, we are in a business in which differentiation is a must. So if we create an application from someone, differentiating that application from one industry to the next industry, or from one customer to the next customer, is key for us. So customizing those platforms to differentiate, is also a key. And that's the center of, the essence of, the service over platform strategy. Its a new concept that we are pushing into the market. We will need to invest our money there in customizing those platforms, so on so forth, that we don't consider that will disrupt in any way our cash flow and the ability to generate cash we have.
Ashwin Shirvaikar: My last question is - when you have the - the Argentine peso devaluation, is that a follow-through impact - or what is the follow-through impact with regards to [evaluation] and how we're thinking about this, as we approach this year?
Alejandro Scannapieco: Hi Ashwin, this is Alejandro. That's still to be, to be seen. The way we see the impact of the Argentine peso devaluation - definitely very positive in terms of margins, gross margins, operating margins. Very positive in terms of having [motch] (Ph) interview of her analysis, now in the [indiscernible] is going to be a minimized or just going away. As for weight inflation, we know that the government is having, a tough fight with unions, in terms of setting up expectations, but they are also working on their monetary policy and the public expenditure in terms of controlling inflation. They are very vocal about lowering inflation, so I think in the long run it is going to be a positive. The scenario for 2016 is still going to be a shaky environment from a wage inflation perspective in Argentina. But we are very positive in - as I was saying we're very positive in terms of what is happening in the market, both in terms of the government change and what is happening in the FX market as well.
Ashwin Shirvaikar: Got it, thank you.
Operator: Our next question comes from Avishai Kantor from Cowen and Company, please go ahead with your question.
Avashai Kantor: Yes, hi, great results, congratulations. You spoke about two potentially large clients, one which is a large consumer goods company in the US. So will the market for that, will that be the US, or that's going to be - could include the other regions outside of the US? And if yes, which regions could those be?
Martin Migoya: It includes everything. Corporate-wide, we are developing technologies in four different regions. In four different regions of that particular customers. So it is a worldwide initiative, Avashai.
Avashai Kantor: That is for this one specific consumer goods company?
Martin Migoya: Yes.
Avashai Kantor: Thank you so much for taking my question.
Martin Migoya: No problem.
Operator: Our next question comes from Jason Kupfernerg from Jefferies, please go ahead with your question.
Kristen Chan: Hi, good afternoon, this is Kristin Chan for Jason. Thank you for taking my question.
Martin Migoya: Thank you so much for joining.
Kristen Chan: Following on Tien-Tsin's question about the demand environment, it seems like you guys are not seeing at all any softness. We've heard that the softness was especially pronounced in some of the banking and financial services vertical. I'm curious about whether you are seeing the strong demand across the board? And also how much visibility you guys have for the full year and where does your pipeline and backlog currently stand this year versus the same time last year?
Martin Migoya: Thank you very much for the question. The aspect of our finance exposition is an important one. We have no more than 15% in the finance sector, which is very healthy, I think. However, within our finance customers, we are seeing a pretty large expansion going into the direction of the things we're doing. We are seeing pretty good demand of our services and we are growing in a nice way in all of them. Going back to Tien-Tsin's question, the softness that other companies may see, I don't know, we are not seeing it, not even in the finance sector, at least for the things we do. I cannot tell you anything more than that.
Kristen Chan: I guess, can you just comment on where the pipeline and backlog stand?
Martin Migoya: Yes, pipeline on those specific industries, it is following the same trend as all the rest of the pipeline that we have. It is healthy, its growing, we are at record highs in terms of pipeline. So again, it is pretty much the same answer that I gave to Tien-Tsin.
Kristen Chan: Okay, thank you for that. So you recently expanded your delivery network in India through that Clarice acquisition, so we are curious of all the hires that you've made, 1200, I think you mentioned? Was that mostly in India? And what is your mid- to long-term strategy regarding global expansion? Are we to expect that India will remain a target geography, or are you looking to reduce employees in Argentina? What are your thoughts there?
Martin Migoya: It is a very interesting question. We have no specific intention of growing any specific area. They will grow depending on how people see the opportunities that they have with the different areas in which we operate. We have not decided any specific strategy there, and our people will tend to leverage the best possible talent they get, anywhere in the world. This is not a cost game, its a game of where we can find the best talent for the things we do. We have not entered into any discussions with other people. We haven't said - let's grow India, don't grow Argentina, or grow Argentina, don't grow Columbia, whatever. We had no discussions around that. We said to our people - you go and gather the talent, the best possible talent in every single region, in which we are, and we delivered that. We accomplished that and we do our services with that talent and we keep our customers happy. That is the way we think about rapid distribution.
Kristen Chan: One final one for me and then I'll hop off. Your revenues from Europe, while it is still a small portion of overall revenues, were up pretty huge this quarter. So can you comment on what contributed to that and maybe comment on the general demand environment in Europe, especially with the Euro where it is?
Martin Migoya: As we've said, a couple of calls ago, and in some of the meetings that we had with some investors, Europe was part of our target in terms of growth and is a very attractive region for us. There's a very small portion of revenue that comes from Europe. So we definitely re-bump it, the whole business unit for Europe. We assembled a new team in Europe. It's paying off, we gained a couple of very, very interesting customers, and that's gaining traction. We expect Europe to gain traction in the upcoming quarters. As for the situation in Europe overall, we see that it is a different demand environment, as compared to the US, but again, we are very small in the region. The opportunity for us is that we become a strategic for some of those new customers that we are penetrating, I think it is still a very big opportunity for us.
Operator: Our next question comes from Anil Doradla from William Blair, please go ahead with your question.
Anil Doradla: Hi guys, congrats from my side too. A couple of questions. Martin, first on Clarice, I know there were some questions there on Clarice, but can you share with us how the integration is coming? It is obviously becoming a big area. Clarice, historically has been more focused on telecom, technology kind of end clients. So can you help us understand how the integration is going on? And can you maybe highlight an example where maybe you and Clarice have jointly pitched an idea and won a design win or customer?
Martin Migoya: Thank you very much for taking the call and for the consideration. The integration is going great. We are very happy with everything we've seen in India and I think that our assessment on how the values of both companies and cultures of both companies would come together, was good enough. Because we are seeing a pretty smooth integration between our studios and their people and everything is coming up together very well. In terms of the customers that you asked, when we look at acquisitions, we only look for - we chose those relationships that we can foster and that we can, together, make a top account for Globant. And we are seeing also some growth in that specific area, which we're using some other big electricity company, and some other high-tech company, in which we are being able to grow together with Clarice, and going together through the market with them. All in all, I think I know that the integration is going quite smooth. But that's landed, and that's based on, I think a very good cultural fit between the two companies, otherwise it would have been very difficult. I think that, that fact that we paid attention when we made acquisition, is really paying off very well. So that's it.
Anil Doradla: Now Martin, when you go and pitch ideas with some of these new clients, is there any issue on the pricing front? Especially with the differential on your pricing and Clarice pricing, or you are able to use your pricing even with existing Clarice clients?
Martin Migoya: That's a great question. We are using our pricing, period. That's the new pricing model they have, and this is how we are getting new customers. Of course existing relationships will keep on being as they were, and we are okay with that. But the fact of coming up from - coming out from the model of having small accounts, or a bunch of small accounts, to a model in which we want to have a shorter amount of accounts but a deeper relationship, and bigger accounts. That transformation is going quite well, so we are not very concerned about those customers that are very small local essential, and at the same time they have a low price. So we are pitching now with our pricing mode. I mean, the Globant pricing mode.
Anil Doradla: Fantastic. And finally, if I could squeeze one last one in, Martin. Clearly the space is becoming very hot. Many of your competitors are getting into dischell, everyone are talking about SMAC, everyone are talking about user interface. You have been clearly winning big customers. Can you share with us the latest in terms of competitive landscape? Perhaps what you are seeing now when you are talking to your customers, bidding for these contracts, versus what you had maybe a year or two ago. Has anything changed? Have competitors caught up or do you feel that you still have that unique differentiation?
Martin Migoya: We still have that unique differentiation factor that separates us from the rest. And when you are talking about making additional transformations and creating a digital journey for your customers, it is important, not just to talk about that, but to have the experience about that and to have the customers that back up that experience. With that in mind, we are pretty much the only company that can claim to be a pure player in this. All the rest of course claim to catch up, but as I said, they are struggling with our own digital reinvention As Mr. Bloomberg said on the article at Forbes - they're struggling with their own digital reinvention. That leaves a space for a company like us to come up and teach our way of doing things. The transformation as you mentioned, became like a huge patchwork, a huge patchwork. Within that digital information, you can tell things about omni-channeling or multi development, or SMAC and I would say a very old world for what needed to be understood about a digital transformation. What I think is good about Globant is we are able to demonstrate with examples and demonstrate, what is the reality behind a digital transformation. We can do it with examples, we can do it with very kinds of good things and that is what differentiates us from many other companies. Many can talk about this, we can really execute and we can really show how to conduct this and be successful.
Anil Doradla: Very good, thanks a lot and we look forward to a great 2016.
Operator: Our next question comes from Joseph Foresi from Cantor Fitzgerald, please go ahead with your question.
Michael Reed: Hi guys, this is Mike Reed on for Joe, thanks for taking the questions. I know you've talked some about any kind of signs of weakness in demand, but the question is a little different. If there were any kind of more, further, macroeconomic deterioration, could you give us your opinion on - is digital discretionary the same as some of the keep-your-lights-on kind of work or would there be some kind of falloff on that at all?
Martin Migoya: Great, thank you very much for the question. First, we don't think digital is discretionary. We are touching the top line of the company, I mean we are generating revenues and we are engaging with the consumers. The core of the businesses of the company in which we work with, this is not a funny app, or a funny mobile app to become more trendy. This is absolutely key for them and seals are absolutely connected to the idea that either they disrupt the industry with some new digital journey concept, or they will be disrupted. I don't think this is discretionary. I think we are in the core of the next generation of investments the company needs to make to be successful with our consumers. I am not an economist, so I just feel my company and understand what my customers want. Its more macroeconomic softness, comes, I think, more investment needs to come from our side. Because they need to become more efficient and they need to be able to retain and to beat their competition more efficiently. So that's my take, you know?
Michael Reed: That sounds good. I know we asked about wage inflation earlier as well, but do you have a specific number for the period of how much wage inflation was? Or what you expect it to be in the near term?
Martin Migoya: We can definitely talk about 2016, and what's happening in 2016. We said several times wage inflation was an average of different countries, usually peer-to-peer matching the evaluation. In the case of Argentina was in the mid 20s, what we call 50% of our income. But that is 2016, and before 2016, it is very hard to forecast at this point, of course everything that we have forecasted is embedded in our guidance. As I said before, we see clear signs of the government to fight against inflation. They are being very vocal about lowering inflation, so I think in the long run, that's going to be a nice benefit for us.
Michael Reed: Okay, thanks guys.
Operator: Our next question comes from Frank Atkins from Suntrust, please go ahead with your question.
Frank Atkins: Thanks for taking my call. I wanted to ask a little bit about your comfort level with this current sales capacity given some of the strong growth. How do you feel about your position on that side?
Martin Migoya: Okay, that's a great question. I think we are extremely well positioned there. We have been very comfortable this year with the growth of - in the [indiscernible] we had. We are spreading out in many different countries and tapping into many different talent pools, into many different cities. So there is not a single bottleneck that we have seen in recruiting during the whole 2015. That put me in a very optimistic place for 2016, and for the expansions we want to make, and to be as aggressive as we want. I hope that answers your question.
Frank Atkins: Yes, that was helpful, thank you. A quick numbers question. What do you bake in, in terms of the guidance, for tax rate both for the quarter and for the year?
Martin Migoya: It is a mix between probably a likely, higher effective tax rate in Q1, where we see some volatility and swings. We see the FX market in Argentina and then it tends to be lower toward the end of Q2, Q3, and Q4 of last year. So we tend to be again into a normalized tax rate in the year overall, it might be another high effective tax rate in Q1.
Frank Atkins: That's helpful. I wanted to ask a little more about the education and training partnership and program that you are getting involved with. Any more color there and does that has an impact on the P&L?
Martin Migoya: This is a very interesting company we acquired just a minority stake in it. The idea is to open up and start participating on how to develop more talent worldwide. The idea of having work class, teaching lessons, learning classes online is very appealing to us and has been very appealing for many years. We found a group of entrepreneurs which are great people, great energy, and they have been doing this for a while now in the green sector. So we are starting here in Argentina and going to meet out into many different areas. I don't see any meaningful impact on our revenue growth due to this, but yes, I see a meaningful impact on how we train our people and how we are able to scale their abilities in a pretty efficient way right now. That is why we did the transaction, we want to participate in the leading initiatives in the region, and how to train talent in a different way and that is why we did this investment.
Operator: Our next question comes from Moshe Katri with Sterne Agee, please go ahead with your question.
Moshe Katri: Okay thank you. Again, congratulations for a very strong quarter and very solid guidance. Could you talk a bit about the headcount mix in Argentina versus some of the other countries? Can you just break that down, and remind us where that compares versus last year?
Martin Migoya: Yes, Argentina now is 56% of the total count. It went down by 12 percentage points as compared to December of last year. Then we had 11% of our tech count in Columbia, 9% in India, 8% percent in Uruguay, 6% in Mexico. The rest is US at 6%, so I think it is pretty much aligned with a strategy of decentralizing the timing and becoming a much more global company every single year; so we are executing on that, Moshe.
Moshe Katri: That is a nice drop from 90% which is where you were during the IPO, I think.
Alejandro Scannapieco: Yes. A little bit less, but very close to that number.
Moshe Katri: Even in Argentina, I'm assuming also the mix of headcount in Buenos Aires also came down nicely?
Alejandro Scannapieco: Yes, now Buenos Aires is less than 20% of the total headcount. Again, in Argentina we - during these last three years we opened up three new cities. So we continue executing also on the decentralization strategy, both in Argentina and the rest of the country. Again, this goes back to Martin's point about finding the talent where the talent eats. We believe in decentralization, it is part of our execution plan to keep that as part of our strategy.
Moshe Katri: Okay, great. And then you have a huge uptick in your top one client in terms of year-over-year growth. Maybe you can give us some color on that? And in that respect, we are hearing that we are seeing an uptick in average project sizes in terms of increases. Some of it has to do with funding, some of it has to do with the fact that enterprise clients are ready to move and fund more of these digital projects. Maybe you could give us color on that as well?
Alejandro Scannapieco: Let me tell you that one, Moshe, I think we have been able - this goes back to the fact that its going forth and [indiscernible] the relationship with our customers to deeper penetrate the different areas to excel by executing some of those digital journeys, like in the case of our largest customer. We have been able to start working with different divisions, all the time moving some of the work from one big division to other divisions. Of course, the main project that we have titles on, they are planning to develop that and then to deploy that into some other locations in Asia and Europe. So definitely the core process that we have been running for that customer is still there, but they have opened up new windows for us in terms of providing services for digital. We have been even able to add some of the other studios in the value propositions that we provide to that customer. And that is the way to go for us. That's our strategy. We want to have more customers like that, and I think we have been executing very well on those customers, where we are able to prove our value in the long run, where we mature the relationship and we keep growing that relationship over time. So I think that is a strategy when we talk about the 40, 50 customers with a $40 million each, or $50 million each, we continue developing that strategy.
Moshe Katri: Two more last questions regarding your guidance for 2016, can you tell us what is embedded in the headcount growth in that guidance? You were talking about leverage in the model and margin expansion, is there any way to quantify that? Thank you.
Martin Migoya: You know, Moshe, we don't guide for tech. You can expect that as we have been decentralizing the very, very centers, the headcount hiring is going to be very robust in 2016 as well, like we have now the agents in many different places, to seek for the time. After you have seen - have decreased more than 200 basis points year over year. This is the positive outcome of our travel into lower attrition, now we're in the 17 range. Combined to that, I would say, in terms of off-site for the model and operating leverage, definitely as we said, operating margins look better for this year and the normal statement of the FX market in Argentina is going to be a [indiscernible] on that. And the, of course it is growing the business, its growing the value that we deliver, that is going to be helpful for us in terms of increasing the revenue per head the potential opportunity of upside on the margins. SG&A, as we continue gaining a scale, we'll continue diluting SG&A so that another operating leverage that we have ahead of us.
Moshe Katri: Thank you for the call.
Operator: Our final question comes from Arvind Ramnani from Gordon Haskett, please go ahead with your question.
Arvind Ramnani: Most of my questions have been answered but do I have two broader questions. When you think of these digital projects, the average size of these engagements seem to be smaller than any traditional IT engagement. When you think of expanding revenues from the top accounts, do you have to do work that is sometimes out of your core areas and skill sets and as a result do you need to have a broader price range given the variety of work that you need to do in order to increase your footprint per customer?
Alejandro Scannapieco: I will hand it over to Guibert, our CTO.
Guibert Englebienne: Hi, I think you for asking the question. What is happening is we may see - you may see some growth on the India space. That is something that is discreet, and small but it's totally the opposite. But that technology is allowing companies for the first time to connect with consumers and establish a direct connection that will drive revenue and brand recognition and loyalty. For that we are investing heavily in two things that will allow that connection to happen. Imagine being an airline, and right now you are transacting [indiscernible] and interacting with your consumers and relying on reservation systems. That is just an example and the technology, when used to connect with consumers has become a revenue generation pool, a very powerful one, while the rest of IT has become stagnated into a cost center. In front of that, a lot of the conversation and corporate reaction achieved by cloud computing, and visualizations have been transferred as an investment opportunity into a political sector, a consumer-facing one.
Operator: Ladies and gentlemen, that does end today's question-and-answer session. I'd like to turn the conference call back over to management for any closing remarks.
Martin Migoya: Thank you very much for everybody participating on this call. I would like to give a special recognition to all of our stakeholders that helped us to achieve a great 2015. First to our globers, second to our shareholders, and third to all the rest of the communities constantly supporting us so thank you very much and we're looking forward to seeing you next quarter.
Operator: Ladies and gentlemen, that does close today's conference call, we do thank you for attending. You may now disconnect your telephone lines.